Operator: Good day, everyone, and welcome to the Limoneira First Quarter Fiscal Year 2013 Conference. Today's conference is being recorded. At this time, I would like to turn things over to Mr. John Mills of ICR. Please go ahead, sir. 
John Mills: Thank you. Good afternoon, everyone, and welcome to Limoneira's First Quarter Fiscal Year 2013 Conference Call. On the call today are Harold Edwards, President and Chief Executive Officer; and Joe Rumley, Chief Financial Officer.
 By now, everyone should have had access to the first quarter fiscal 2013 earnings release, which went out today at approximately 4 p.m. Eastern Time. If you have not had a chance to review the release, it's available on the Investor Relations portion of our website at limoneira.com. This call is being webcast and a replay will be available on the Limoneira's website as well at limoneira.com.
 Before we begin, we would like to remind everyone that prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. Such statements involve a number of known and unknown risks and uncertainties, many of which are outside the company's control that can cause its future results, performance or achievement to differ significantly from the results, performance or achievements expressed or implied by such forward-looking statements. Important factors that could cause or contribute to such differences include risks detailed in the company's 10-Qs and 10-Ks filed with the SEC and those mentioned in the earnings release. Except as required by law, we undertake no obligation to update any forward-looking or other statements herein whether as a result of new information, future events or otherwise. Also on the company's earnings release and in today's prepared remarks, we include EBITDA, which is the non-GAAP financial measure. A reconciliation of EBITDA to the most direct comparable GAAP financial measures is included in the company's press release, which has been posted on our website.
 And with that, it is my pleasure to turn the call over to company's President and CEO, Mr. Harold Edwards. Go ahead, Harold. 
Harold Edwards: Thank you, John, and good afternoon, everyone, and thank you for joining us. On today's call, I'll begin with a brief overview of some financial highlights in the first quarter and provide an update about our business progress and some of our growth opportunities. Then Joe will review the financial results for the quarter in more detail, and I'll then review our fiscal 2013 guidance and open the call up for some questions.
 For those of you that may be new to the Limoneira story and our business model, we are 120-year-old asset-rich, diversified operating income company. We began fiscal 2013 with approximately 8,200 acres of productive agribusiness property, valuable real estate holdings and water rights primarily in Southern California. Our focus for fiscal 2013 is to continue to expand our agribusiness and to begin to take the steps to unlock the tremendous value we have in our real estate development holding.
 Our first quarter results reflect a solid start to the year. Our top line increased to $17.4 million compared to $10.2 million in the prior-year period. This growth was driven by our agribusiness sales, which increased 77% compared to the first quarter last year. Our lemon business continued to post strong growth in the quarter, underscoring our success with our direct lemon sales and marketing strategy despite current weaker industry pricing caused by a higher level of imports. We also benefited from higher Navel and Valencia orange revenues due to production associated with the Sheldon Ranch leases which began in fiscal year 2012. We expect that we will continue to benefit from higher orange sales throughout the current fiscal year now that Sheldon is fully integrated into our business.
 As a reminder, the first quarter typically generates a loss for us due to the seasonality of our agribusiness and the timing of our crops harvest. As an example, we rarely report sales of avocados during the first quarter due to the seasonal nature of that business. In the second and third quarter, we expect to see acceleration in sales for our agribusiness including avocado. Based on our sales to date and our outlook for the remainder of the year, we are pleased to reiterate our guidance for lemon and avocado volume production. I will review this in more detail later in the call.
 Looking ahead for our agribusiness, we're excited about the robust, long-term growth opportunities for this segment of our business. In fiscal year 2012, we expanded our agribusiness operations by acquiring 355 acres of agricultural property and entered in the Sheldon Ranch leases for another 1,000 acres. 
 In total, our agribusiness currently consists of approximately 5,700 acres of lemons, avocados, oranges, specialty citrus and other crops. We are the largest vertically integrated supplier of lemons in the United States and one of the largest growers of avocados in the U.S. Because of our scale and extensive knowledge of the California citrus market, we're positioned for further growth through selective and strategic agriculture acquisition.
 One growing trend that we are seeing with farmers is that they're looking for way to monetize their assets through an exit strategy for their operation. Oftentimes, farmers may not have succession plans to realize the value they have in their agricultural businesses, and we're able to offer them another option and expand our agricultural holding. Limoneira is continually evaluating different acquisition opportunities of agricultural land that will be complementary and accretive to our existing portfolio.
 In addition, our agribusiness will benefit from our continued success in adding more customers both domestically and internationally. Our direct sales and marketing for our lemon business is proving to be very successful. We have been pleased with the response to our Unleash the Power of Lemons campaign, which we began rolling out at the end of 2012. We've been partnering with leading health, wellness and lifestyle experts in major cities throughout the world to help build lemon consumption by educating consumers on the many innovative uses of lemon.
 Now turning to our real estate development segment. There has been extremely exciting news related to our real estate development efforts. Last month, East Area 1 was formerly annexed into the city of Santa Paula. The annexation was the final required step to enable Limoneira to proceed with the development of our East Area 1 project, which is a master plan community project. When completed, East Area 1 is expected to consist of approximately 500 acres of commercial and residential properties, including 1,500 residential units, 210,000 square feet of commercial space, and 150,000 square feet of light industrial space. We initially conceived this project back in 2004 and our team has been working diligently ever since to obtain all of the requisite approvals to allow us to proceed with the development. The news of the annexation, while expected, was extremely gratifying and exciting for our entire team. We have already begun track mapping in the area for development, applying for infrastructure building permit and we expect to break ground on the project in 2014. The project will benefit from the land's highly desirable location, which is just 14 miles from the Pacific Coast and 65 miles from Los Angeles and easily accessible to several major highways. Our estimates suggest that East Area 1 master plan community represents approximately 25% of Ventura County's buildable residential lot for the next 10 years.
 In addition to East Area 1, we're also working on a 25-acre property called East Area 2 that's adjacent to our East Area 1 property. This is intended to be additional commercial development space for us. Last month, we entered into an option agreement on this property and we'll update you as the potential project advances. These developments mark the beginning of an exciting new phase of real estate development for Limoneira as we begin to unlock the value in our real estate holding. We are looking forward to the opportunity to leverage our deep understanding of our community base based on our long operating history in Santa Paula. As these projects progress, we are well-positioned to benefit from the anticipated additional cash flow associated with them. Over time, we expect to invest this cash flow into productive agriculture and selected rental operation, as well as to increase our dividends to enhance shareholder value.
 With our diverse business model and strong product offerings, we believe we've laid the foundation for strong future growth.
 Before I turn the call over to Joe, I just like to highlight a few aspects of our business that provide us with distinct growth and greatly improved cash flow opportunities.
 First theme is the important focus of farm fresh to family table for traceability and quality provide us long-term growth opportunities within our diverse agricultural product offerings both domestically and internationally. We are able to leverage our status as a low-cost producer and one of the largest direct marketers of lemons in the United States. We are able to capitalize on significant growth within the avocado industry. We generate steady cash flow from our rental properties. We're positioned to potentially generate significant cash flows from the sale of our extensive Southern California real estate holding that are uniquely situated for residential and commercial real estate development. We expect to utilize proceeds from the sale of Southern California real estate to purchase a deep pipeline of lower cost per acre agricultural land with similar productivity and cash flow. We are able to leverage our sustainability-focused investments in solar energy, water management and environmental stewardship. And lastly, there are very high barriers to entry in the Southern California agribusiness industry due to a number of factors including high land prices and a rigorous regulatory environment. We believe our uniquely positioned holdings and leading position in the fruit and citrus industry provide us a significant competitive advantage. 
 In summary, we're very excited about the robust opportunities ahead. We are committed to capitalizing on the positive trends in our industries and believe that we are well-positioned to deliver strong growth in fiscal year 2013 and beyond. And with that, I'd like to turn the call over to Joe to discuss our first quarter financial results. 
Joseph Rumley: Thank you, Harold. Good afternoon, everyone. For the first quarter ended January 31, 2013, revenue was $17.4 million compared to revenue of $10.2 million in the first quarter of the previous year. Agribusiness revenue increased 77% to $16.3 million compared to $9.2 million in the first quarter last year. 
 Rental operations revenue was $1 million in first quarter of fiscal 2013, essentially flat compared to the first quarter of last year. And real estate development revenue was $48,000 compared to $44,000 in the first quarter last year. 
 Our first quarter 2013 agribusiness revenue includes $14 million in lemon sales compared to $7.8 million of lemon sales during the same period of fiscal year 2012, reflecting a larger number of cartons of fresh lemons sold, partially offset by lower average price per carton.  We also experienced higher sales of lemon by-products compared with the same period last year.
 As anticipated, due to the typical seasonality of avocado crop, we do not record significant avocado sales during the first quarter of fiscal year 2013. Excuse me, in the first quarter of fiscal year 2012, we generate $124,000 of revenue from avocados. We recognized $1.4 million of orange revenue in the first quarter of fiscal year 2013 compared to $500,000 of orange revenue in the same period of fiscal year 2012. This increase is primarily due to the production from Sheldon Ranch leases which we entered in fiscal year 2012. Specialty citrus and other crop revenues were $883,000 in the first quarter of fiscal 2013, which is $72,000 more than last year of fiscal 2012.
 Turning to costs and expenses. For the first quarter of fiscal year 2013, we incurred $22.7 million of costs and expenses compared to $15 million in the first quarter of last fiscal year. The year-over-year increase in operating expenses primarily reflects increased agribusiness costs associated with higher sales for this segment.
 Packing costs increased, primarily attributable to the higher volume of fresh lemons packed and sold compared to the same period of last fiscal year. On a per carton basis, packing costs were $5.60 for the first quarter 2013 compared to $6.34 in the same period of fiscal year 2012 as costs were leveraged across a larger volume of lemons packed and sold. 
 Third-party grower costs increased in the first quarter of fiscal 2013 compared to the same quarter of last year due to an increase in lemons procured from third-party growers and in particular from Associated Citrus Packers, which began in August of 2012. 
 Operating loss for the first quarter of 2013 was $5.3 million compared to a loss of $4.7 million in the first quarter last year. Increase in loss is primarily due to a larger operating loss of $101,000 in agribusiness segment, resulting from lower lemon prices in the first quarter of fiscal '13 compared to the first quarter of prior year and typical seasonality in the timing of the avocado harvest, which result in a lower avocado profits in the first quarter of fiscal year 2013 compared to last year. 
 In addition, selling, general and administrative expenses were higher in the amount of about $494,000 in the first quarter of 2013 related to increased sales, benefits and incentive compensation and greater selling expenses due to increased lemon sales volume and consulting expenses primarily related to our growth initiatives.
 EBITDA was negative $4.4 million in the first quarter of fiscal 2013 compared to a negative $3.9 million in the same period of last fiscal year. There's a reconciliation of EBITDA to GAAP net income at the bottom of the earnings release. 
 Primarily as a result of larger amount of capitalized interest on real estate development projects during the first quarter of 2013, interest expense was $124,000 compared to $175,000 in the same period of 2012. Noncash fair value adjustments on our interest rate swap resulted in income of $221,000 in the first quarter of 2013 compared to $159,000 of expense in the same period of the prior year.  
 Net loss applicable to common stock after preferred dividends for the first quarter of 2013 was $3.2 million or $0.28 per share. This compares to a net loss applicable to common stock in the first quarter of 2012 of $2.9 million or $0.26 per share.
 As many of you are aware, we recently completed public offering which strengthened our balance sheet and has us well positioned to expand our agribusiness and execute on our real estate development plans. 
 During February 2013, we completed a public offering of 2,070,000 shares of our common stock at a price of $18.50 per share. The total gross proceeds is about $38.3 million. We intend to use the net proceeds from the offering for general corporate purposes, which includes repayment of long-term debt, investment of real estate development, and acquisitions of agriculture property. During February 2013, we repaid approximately $36 million of long-term debt with the net offering proceeds. The offering provides us with additional financial flexibility to make strategic investments and acquisitions to grow our business. With additional shares issued, we expect to improve liquidity of our stock. 
 Now I'd like to turn the call back to Harold to discuss our fiscal year 2013 guidance. 
Harold Edwards: Thanks, Joe. As I mentioned during my earlier remarks, we are reiterating our previously stated guidance for fiscal year 2013. We expected revenue and operating profit, as well as EBITDA and net income, will grow in 2013, primarily driven by our agribusiness segment related to increased lemon and avocado volume and improved operating results from the Sheldon Ranch lease.
 For the fiscal year ending October 31, 2013, we expect to sell between 3 million and 3.2 million cartons of lemons, representing approximately a 25% increase over 2012. In addition, we expect to sell between 17 million to 19 million pounds of avocados, representing approximately a 50% increase compared to 2012. We believe that lemon and avocado prices will be less in 2013 compared to 2012 due to higher industry production.
 In closing, we believe we are very well-positioned to achieve strong growth in 2013 and look forward to reporting to you on our progress. 
 And with that, I'd now like to open the call up for your questions. Operator? 
Operator: [Operator Instructions] And our first question today will come from Jonathan Feeney with Janney. 
Jonathan Feeney: You mentioned the annexation, Harold, in your prepared remarks. I wanted to dig into a little bit. What types of -- now that that's happened, does that enable potential partnerships with homebuilders or your other potential financial partners that could expedite the build-out in the monetization process? And what direction might that take to the extent you can talk about it? 
Harold Edwards: Sure, John. Thanks for the question. Great one. We're very excited because essentially, the annexation means that the entitlement risk in this project is now behind us. And we're now moving forward with meaningful discussions with both homebuilders, as well as other potential development and capital partners, about moving the project forward and having the first discussions about the phasing of the development and what products and product type, commercial and residential product, might be within the first phase of our development. And we look forward to reporting through 8-K filings and press release filings as we actually execute transaction and deals. But really to the extent that we're able to look forward and report at the point, we're having ongoing meaningful discussions with a number of national, as well as regional homebuilders, as well as some larger real estate development investors who were very interested in the project. 
Operator: [Operator Instructions] We'll hear next from Tony Brenner of Roth Capital Partners. 
Anton Brenner: Your -- the proportion of lemons that is being designated for export has gone up pretty sharply. It's almost half of your total lemon sales. And given that pricing is weak, I'm wondering if there is a financial advantage to you in exporting lemons rather than selling them domestically either via pricing or margins? 
Harold Edwards: Tony, great question. Yes. The answer to that question has sort of 2 pieces to it. The first piece is, so there are -- around the world, there are markets for 3 different distinct grades and 8 different sizes of lemons. And typically, we find our greatest success in the export market, shipping our highest quality of the most desirable sizes at prices that typically can eclipse or be much greater than what we can find in the United States. So certainly, seeking export markets opens up a greater opportunity to sell our highest quality lemons at the highest value. But the other thing that it does is as lemons find their way out of the country, it frees up basically market to be less crowded here in the United States and actually brings into better balance the demand and supply of lemons here in the country. So we actually receive benefit from exports, both domestically and globally -- internationally. 
Joseph Rumley: Also, Tony, this is Joe. It was about 56% domestic, 44% export designated. But that probably won't hold throughout the year. We're thinking typically from the 20% to 30% on an annual basis, but it was a little higher in the first quarter. 
Anton Brenner: Okay. And where does your lemon packing capacity stand given a projected 30% increase in volume. Are you going to have to expand that facility in order to accommodate that volume? 
Harold Edwards: So if we could design the perfect year of shipments, we -- and so every month had equal amount of shipments, we feel we have a theoretical capacity of about 4 million cartons. And this year, we're looking at that packing approximately 3.2 million to 3.5 million cartons. So we're getting pretty close to capacity. And so we're actually in the backroom, currently formulating expansion plan and working with the county on the permits required for expanding our capacity. But that's actually one of the things that's at the top of our list of uses of our recent capital from our capital raise is in the expansion of the packing house. And at this point, it's a little premature to take this to the bank, but we believe that we're looking at additional investments that could theoretically double the capacity of the packing house and save us somewhere on the order of $0.50 to $0.75 a carton with over 4 million cartons or above, we have a meaningful payback on the investment required to expand the capacity. 
Anton Brenner: I'm not sure what that means. When you're -- if you're looking at investments that -- could you explain what you just said? 
Harold Edwards: Sure. In other words, we're having great success finding new customers and new homes for our lemons. So as we're growing our business, if we didn't do anything, we basically would be able to move 4 million cartons through the packing house then we'll be done. But by making an investment in the packing house and increasing the speed at which we can process the lemons on a per-hour or per-ship business -- basis, we'll be able to process with basically the same amount of fixed labor, twice as many lemons, which will lower the cost per carton and give us a payback on that investment in the increased capacity of the packing house. 
Operator: And gentlemen, with that, we have no further questions. Mr. Edwards, I'll turn the conference back to you for any additional or closing remarks. 
Harold Edwards: Very good. I want to thank everybody for their time. Thank you very much. 
Operator: And ladies and gentlemen, that does conclude today's conference. Again, we thank you, all, for your participation.